Operator: Good day, and welcome to the Bain Capital Specialty Finance Second Quarter ended June 30, 2021 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Katherine Schneider, Investor Relations. Please go ahead.
Katherine Schneider: Thanks, Eli. Good morning, and welcome to the Bain Capital Specialty Finance Second Quarter ended June 30, 2021 Conference Call. Yesterday after market close, we issued our earnings press release and investor presentation of our quarterly results, a copy of which is available on Bain Capital Specialty Finance’s Investor Relations website. Following our remarks today, we will hold a question-and-answer session for analysts and investors. This call is being webcast, and a replay will be available on our website. This call and webcast are property of Bain Capital Specialty Finance and any unauthorized broadcast in any form is strictly prohibited. Any forward-looking statements made today do not guarantee future performance, and actual results may differ materially. These statements are based on current management expectations, which include risks and uncertainties, which are identified in the Risk Factors section of our Form 10-Q that could cause actual results to differ materially from those indicated. Bain Capital Specialty Finance assumes no obligation to update any forward-looking statements at this time unless required to do so by law. Lastly, past performance does not guarantee future results. With that, I’d like to turn the call over to our Chief Executive Officer, Michael Ewald.
Michael Ewald: Thanks, Catherine, and good morning, everyone. Thank you for joining us on our earnings call here. I’m joined today by Mike Boyle, our President; and our Chief Financial Officer, Sally Dornaus. I’ll start with an overview of our second quarter ended June 30, 2021 results, and then provide some thoughts on the overall market environment and our positioning. Thereafter, Mike and Sally will discuss our investment portfolio and financial results in greater detail. Yesterday after market close, we delivered another consecutive quarter of positive results for our shareholders. Q2 net investment income per share was $0.34 and produced an attractive net investment income annualized yield of 8% on equity. Our net investment income covered our dividend level by 100%. The health and strength of our portfolio continued to trend positively this quarter as we witnessed improving credit quality trends across our diversified portfolio of middle market companies, and we continue to maintain no investments on nonaccrual status. These results drove strong earnings and NAV growth for our shareholders as Q2 earnings per share were $0.66 as a result of net gains across our portfolio. Net asset value per share was $17.01 as of June 30, reflecting a 1.9% increase from our NAV as of March 31. Subsequent to quarter end, our Board declared a third quarter dividend equal to $0.34 per share and payable to record date holders as of September 30, 2021. This represents an 8% annualized deal and ending book value as of June 30. During the second quarter, we witnessed favorable macroeconomic trends as financial markets continue to rally, notwithstanding inflationary pressures as economies fully reopen. Spreads in the broadly syndicated loan market continue to tighten for larger companies, while spreads within the direct lending market were relatively stable quarter-over-quarter and largely back to pre-COVID levels. These market conditions drove strong levels of sponsored loan volume in the middle market, driven by increased LBO and add-on activities. Against this backdrop, we continue to execute on our middle-market direct lending strategy, consistent with the long-standing tenets of our approach. Our balance sheet was well positioned going in the second quarter as a result of the sequential improvements that we made in recent past quarters to better position the company to take advantage of investing in attractive new lending opportunities. Q2 gross originations were $213 million, down from first quarter 2021 volumes of $384 million but higher than Q4 2020 levels of $173 million. Originations during the second quarter were relatively split between commitments to new portfolio companies and commitments to existing companies through our incumbency advantage across the Bain Capital Credit platform. This platform’s focus remains on the core of the middle market, which we define as companies between $25 million and $75 million of EBITDA. The median EBITDA of our new originations in Q2 was approximately $43 million, consistent with our overall median of $42 million. We continue to favor this segment of the market as these are scaled middle market companies with diversified end market revenue streams that lack access to the broadly syndicated loan market due to their size. We benefit from an illiquidity premium in this market segment and are able to structure securities that provide us with strong lender control such as financial covenants. We believe the Bain Capital Credit platform has significant competitive advantages in the segment of the market, given our long-standing presence there that’s entrenched with our deep sourcing relationships that accumulated over 2 decades. Furthermore, Bain Capital Credit’s global team and resources allow us to source a wider funnel of opportunities and remain selective in the investment opportunities that we pursue on behalf of BCSF. In fact, throughout the year and continue during the second quarter, we have seen robust activity out of our European offices. We’ve found many of these investment opportunities to be increasingly attractive relative to opportunities sourced through our North American offices, given a seemingly higher level of euphoria in the U.S. that has driven spreads here tighter. These trends allow us to increase the size of our loan portfolio within the international senior loan program, or ISLP, which is our joint venture focused on direct lending opportunities to European and Australian borrowers. Quarter-over-quarter, ISLP’s investment portfolio at fair value grew by 23%. Our investment in the ISLP has the potential to drive our earnings higher for our shareholders over time as we grow that portfolio. Turning to our capitalization. We ended the second quarter at a net leverage ratio of 1.12x, which reflects the midpoint of our target net leverage ratio of between 1x and 1.25x. We believe the company is on the strong financial footing to take advantage of new yield accretive investment opportunities to grow earnings, even while remaining disciplined in our credit selection. Subsequent to quarter end, we optimized the company’s liability structure through repurchasing $37.5 million of the company’s $150 million, 8.5% notes due 2023. We were able to take advantage of an opportunity to reduce a portion of the company’s 2023 notes at a discounted price to our make-whole premium prior to maturity. Looking forward, we remain focused on making continued improvements to our liability structure over time and believe the company has a stronger balance sheet than ever before as we have fortified it through diverse and flexible financing structures. I will now turn the call over to Mike Boyle, our President, to walk through our investment portfolio in greater detail.
Mike Boyle: Thanks, Mike. I’ll start with our investment activity for the second quarter and then provide an update and more detail on our investment portfolio. Q2 new investment funding’s were $213 million across 32 portfolio companies, including $111 million in 8 new companies and $102 million in 24 existing companies. Sales and repayment activity totaled $258 million. Our new portfolio originations were comprised of a diversified set of middle market borrowers across a broad range of industries, such as business services, automotive and health care and pharmaceuticals. Our Q2 originations benefited from Bain Capital Credit’s global sourcing capabilities as over 60% of our new originations to new portfolio companies were sourced from our offices in Europe and Australia. Our largest new investment commitment during the quarter was a first lien unitranche loan at LIBOR plus 700 basis points with 100 basis point floor to an incumbent portfolio company that we have been invested in since 2019. We were the lead lender on this deal and had a compelling opportunity to upsize our loan, which is structured with call protection and strong lender controls through a tight covenant package. The company is a manufacturer of flow control products used in transportation, delivery and storage of liquefied petroleum gas, industrial gases and liquefied natural gas. We believe this is an attractive investment due to our view of the company’s stable recession, resilient business profile, recurring revenue from a large installed base and attractive un-levered free cash flow. Turning to the investment portfolio. At the end of the second quarter, the size of our investment portfolio at fair value was $2.3 billion across a highly diversified set of 104 portfolio companies operating across 28 different industries. Our investments consist largely of first lien loans to sponsor-backed middle market businesses. As of June 30, 81% of the investment portfolio at share value was invested in first lien debt, 5% in second lien debt, 1% in subordinated debt, 7% in equity interest and 6% in the international senior loan program, or ILSP. ISLP’s investment portfolio at fair value as of June 30 was approximately $395 million, comprised of investments in 21 portfolio companies operating across 12 different industries. 100% of the investment portfolio was invested in senior secured floating rate loans, including 89% first lien, 11% second lien. We were pleased to demonstrate growth in the size of ISLP’s investment portfolio quarter-over-quarter, driven by our platform’s ability to source and identify attractive new investment opportunities outside of the U.S. Our portfolio yield was relatively stable quarter-over-quarter. As of June 30, 2021, the weighted average yield on the investment portfolio amortized cost and fair value were 7.5% and 7.7%, respectively, as compared to 7.6% and 7.8%, respectively, as of March 31, 2021. As we discussed with our shareholders during last quarter’s call, we remain focused on improving the yield of our total portfolio to an 8% yield target while maintaining our focus on senior secured loans. Moving on to portfolio quality trends. Credit metrics at our borrowers were stable quarter-over-quarter. The median leverage through our investment was 5.3x as compared to 5.2x as of March 31. The portfolio median EBITDA was relatively unchanged as well at $42 million. Within our internal risk rating scale, we are pleased to report that credit quality trends improved. 89% of our portfolio at fair value was comprised of risk rating 1 and 2 investments, with the risk rating 1 being the highest risk rating in terms of positive credit performance. The percentage of the portfolio -- that percentage of the portfolio was up 87% as of the prior quarter end. Risk rating 3 investments comprised of 11% of our portfolio at fair value, down from 13% as of prior quarter end. Notably, the number of companies in this bucket were reduced from 12 to 9 quarter-over-quarter as 3 portfolio companies were upgraded to a rating 2 on positive company performance and an anticipated par exit for one of these borrowers. There continues to be no investments classified as risk rating for our lowest risk rating in terms of credit quality. Our risk rating 1 and 2 investments have a weighted average fair value mark of 98.5% a par, reflecting a continued gradual improvement of approximately 70 basis points from the prior quarter. Our risk weighting 3 investments have a weighted average fair value mark of approximately 85% a par, up from the prior quarter end valuations at 82% a par. As we have discussed with our shareholders in previous quarters, these investments comprise borrowers operating in industries that have been more impacted by the pandemics such as consumer transportation, aerospace and defense and select business services. The improvement in fair valuations across these investments quarter-over-quarter reflects our observations of positive financial trends across the vast majority of these companies. However, we still believe it is appropriate to take a measured approach to these fair valuations as economies are fully reopening and these companies adjust back to normalized levels. As a result, we believe our portfolio still has potential for NAV appreciation as we believe these are high-quality companies with demonstrated value propositions. Nonaccrual trends within our portfolio were favorable as this metric was stable quarter-over-quarter. As of June 30, we had no investments on nonaccrual status for the second consecutive quarter. Sally will now provide a more detailed financial review.
Sally Dornaus: Thank you, Mike, and good morning, everyone. I’ll start the review of our second quarter 2021 results with our income statement. Total investment income was $46.5 million for the 3 months ended June 30, 2021, as compared to $49.8 million for the 3 months ended March 31, 2021. The decrease in investment income was primarily due to a decrease in other income and prepayment related income. Total net expenses for the second quarter were $24.6 million as compared to $27.7 million in the first quarter. The decrease was driven by an increase in incentive fee waivers by the adviser, partially offset by higher interest and debt financing expenses. During the quarter, our adviser waived both a portion of its base management fee and incentive fee, demonstrating our continued alignment of interest with shareholders in supporting the regular dividend level. The company’s regular dividend level of $0.34 per share equates to an annualized yield of 8% on equity. We believe this is an attractive distribution level and is set at a rate that can be maintained over various market environments. Our focus remains on driving higher net investment income over time for our shareholders without the need for fee waivers. We believe that we have a pathway to demonstrating this over time. Net investment income for the quarter was $21.9 million or $0.34 per share as compared to $22.2 million or $0.34 per share for the prior quarter. During the 3 months ended June 30, 2021, the company had net realized and unrealized gains of $20.5 million. The largest unrealized gains were seen across industries that had been more impacted by the pandemic, reflecting our gradual recovery across these companies. The company’s net realized gains on investments were driven by a realized gain on a small, preferred equity co-investment to Flow Control Group that we made alongside our unitranche loans. We realized a 2.6x multiple on our equity capital invested. GAAP income per share for the 3 months ended June 30, 2021, was $0.66 per share. Moving over to our balance sheet. As of June 30, our investment portfolio at fair value totaled $2.3 billion and total assets of $2.4 billion. Total net assets were $1.098 billion as of June 30. NAV per share was $17.01 as compared to $16.69 at the end of the first quarter, representing a 1.9% increase quarter-over-quarter. Our gains were attributed to net unrealized gains across the portfolio. At the end of Q2, our debt-to-equity ratio was 1.2x compared to 1.26x at the end of Q1. Our net leverage ratio, which represents principal debt outstanding less cash, was 1.12x at the end of Q2 as compared to 1.15x at the end of Q1. Our net leverage ratio was in line with our stated target range of between 1 and 1.25x. Turning to our capitalization and liquidity, available liquidity consisting of cash and undrawn capacity on our credit facilities was $428 million against our $213 million of undrawn investment commitments. This represents coverage of 2x as of June 30, up from 1.84x as of March 31. For the 3 months ended June 30, 2021, the weighted average interest rate on our debt outstanding was 3.2%, consistent with the rate during the prior quarter. As of June 30, 2021, the company was in compliance with all terms under its secured credit facilities. With that, I will turn the call back over to Mike for closing remarks.
Michael Ewald: Thanks, Sally. In closing, we were pleased to deliver another strong quarter of earnings and NAV growth to our shareholders, driven by the improving credit quality trends across our diversified portfolio of middle market borrowers. We also demonstrated our platform’s ability to consistently source attractive new middle market track lending opportunities on a global basis. We believe our stock valuation continues to offer our shareholders a compelling investment opportunity as we have a diversified performing portfolio of largely first lien loans and are well positioned to capitalize on new opportunities to increase stockholder value over time. We thank you for the privilege of managing our shareholders’ capital and remain focused on doing so prudently. Eli, please open the line for questions.
Operator:  We’ll now take our first question from Finian O’Shea from Wells Fargo Securities.
Finian O’Shea: Michael, just a question on your -- some of your introductory remarks on inflation, input inflation, such as labor, being a lingering challenge in the recovery. Can you talk about how perhaps acute that is in a lot of these -- broadly for middle-market companies and how perhaps threatening, it would be if it continues, like is the current backdrop, something that a lot of your companies and your underwriting, is it something you need to really reverse, it needs to be transitory for everything to work, or do you think that generally, these companies will be okay even if the current conditions prevail for a while?
Mike Boyle: Great question because it’s certainly been a lot in the press as well around labor there. I think the issues around inflationary -- in quite fairly, just the availability of labor, had really been the biggest in service industries. I think restaurants, for example, and that’s not necessarily a sector where we’re particularly overweight by any stretch of imagination. So for us, things like business services where it’s more technical labor, we haven’t seen quite that same level of labor shortage. So I think within our portfolio anyway, the labor issue hasn’t been as big a one as you might think, given again, the prevalence you see in the press.
Finian O’Shea: Okay. And then Michael or Sally, can you give an update on the outlook for the 8.5% sub notes? I think those still are eligible for call sometime next year, but just any update on your thinking and interest and hopefully, improving that part of the capital structure.
Mike Boyle: Sure. Thanks for the question. So we were able to purchase about $37.5 million, the $150 million tranche subsequent to quarter end at a discount to the make-whole premium. So that is a nice improvement in reducing that tranche. And I think will be a positive impact on earnings going forward. Those notes are callable in summer of 2022. And so we will opportunistically look to continue to take down those notes to the extent it’s possible. But if not, we were pleased that those notes were short-dated when we put them in place. And so we would anticipate that they would come out at the next call date.
Operator:  Our next question comes from Ryan Lynch from KBW.
Ryan Lynch: The first question I had was just on the ISLP. Obviously, you guys are -- you talked about having nice opportunities in the European markets and that the ISLP had meaningful growth in this portfolio. I’m just curious, can you guys also can and would you guys also hold loans, the international loans correctly on your balance sheet, or depending on the size, obviously, of the loan that you guys are committing to? Or do all international loans go directly into the ISLP.
Mike Boyle: Sure. Thanks for the question, Ryan. So currently, the ISLP is about 6% of the investment portfolio. Then we also have about 10% of incremental non-U.S. holdings that are sitting on our balance sheet. So we do have the ability to hold loans both in the international senior loan program as well as on balance sheet. As we’ve discussed before, having that International Senior Loan Program up and running, driving 12% to 13% yield really has helped and will continue to help the yield profile of the overall portfolio. And so we are thoughtful of that yield increase that comes with the ISLP, and that’s a key part of why we plan to grow and focus most of the growth on ISLP versus growing the loans on balance sheet.
Ryan Lynch: Yes. Okay. Makes complete sense. And then as there’s -- the markets have come back pretty -- they’re pretty robust at this point, both in terms of pre-COVID levels, but there’s also a significant deal activity. I mean, just as we look to the second half of the year, the outlook for the economy is fairly good. What are the goals that you all see for BCSF? Like what do you guys want to see the BCSF accomplish in the back half of the year?
Mike Boyle: Yes. So one of the key goals that we’re focused on is really driving up the yield of the investment portfolio, up from the mid-7s up towards 8%. Which we think puts us in a position to earn and potentially out earn the $0.34 dividend over time. And we plan to do that while maintaining our focus on first lien debt, and that’s a critical part of why we’ve really expanded and opened the funnel to make sure we’re both capitalizing on opportunities in the U.S. but also abroad and also have some incremental opportunity to do second lien loans in the portfolio. Right now, we’ve been at the lower end of our potential allocation to second lien loans. And we do think there’s meaningful room to grow that basket if we do feel like the economy is truly turning around, and we’re able to find good risk return in some second lien loan position.
Ryan Lynch: Okay. Understood. And then just one last one. You guys obviously booked the portfolio continued to have some nice gains this quarter. But in your prepared commentary, you talked about just still taking a measured approach to your fair values. And there’s still some potential for additional NAV appreciation over time. Given that commentary or that commentary that you gave, what does that assume as a baseline from the outlook from the U.S. economy or specific portfolio companies. Are you assuming a continued gradual recovery, a sharper recovery, some bumps in the road, what is the economic backdrop for company-specific backdrop that you guys are using to -- when you made those prepared remarks?
Mike Boyle: Sure. So we’re -- I would say it’s definitely a gradual -- a slow gradual recovery. If you think about our risk rating 3’s, so the companies and industries that are most impacted by the economic dislocation here over the last year, those are marked at an average price of $0.85 on the dollar. We do think all of those will ultimately receive par, and they are all first dollar risk in capital structures. So we do feel they’re well insulated from a choppy recovery if -- in case we see that going forward. We do think that -- and as we continue to turn more cards over here in recent history, we do think there is a stronger possibility of a more robust recovery than the gradual recovery we’re modeling with those markets. But we did want to take a relatively measured approach given we are still in an uncertain world with new risks coming as other risks are fading away.
Operator: We’ll now move to our next question from Derek Hewett from Bank of America.
Derek Hewett: Given the strong growth in the ISLP during the second quarter, I believe it was rough over -- in excess of 20%. Are you seeing significant growth opportunities in the back half of this year? And if so, are there any sort of growth limitations from your capital partner?
Mike Boyle: Sure. So we are -- and thanks, Derek, for the question. We are continuing to see good growth opportunities there as we think the European and Australia -- economies across Europe as well as Australia are presenting lots of interesting investment opportunities. Right now, the ISLP is about 6% of the portfolio. We have -- our investment partner in that joint venture has also anticipated upsizing that to take advantage of the opportunities through the rest of the year and beyond. And we do think closer to a 10% holding is reasonable and something that could be achieved both with incremental capital for BCSF as well as from the partner in that joint venture.
Derek Hewett: Okay. Great. And then in terms of an investment being housed in the ISLP versus just on balance sheet. What is the distinction there?
Mike Boyle: Sure. So the plan is over time for the majority of investments to get put in the ISLP, if they’re not in the U.S. And so it really is a question of the investment mix in the ISLP and making sure we’re targeting the right leverage level. And as a reminder, in the ISLP, we are focused on running between 1x and 1.5x of leverage. And so we are -- we are managing that over time and contributing assets to make sure we’re achieving those double-digit return profiles in the ISLP.
Derek Hewett: Okay. And what is leverage in ISLP right now?
Mike Boyle: Sure. It’s about 1.1x at quarter end.
Operator:  It appears there are no further telephone questions, so I’d like to pass back to Michael Ewald for any final or closing remarks.
Michael Ewald: Thanks. And again, thanks everyone for joining us this morning. We’re very pleased with our results for the second quarter and looking forward to providing you the good news at . Thanks very much.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for your participation. You may now disconnect.